Operator: Good day, ladies and gentlemen. Welcome to the AeroVironment Inc. Third Quarter Fiscal 2012 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes.
 With us today from the company is the Chairman and Chief Executive Officer, Mr. Tim Conver; Chief Financial Officer, Mr. Jikun Kim; and Vice President of Investor Relations, Mr. Steven Gitlin.
 And now at this time, I'd like to turn the conference over to Mr. Gitlin. Please go ahead, sir. 
Steven Gitlin: Thanks very much, Huey, welcome to AeroVironment's Third Quarter Fiscal 2012 Earnings Call.
 Please note that on this call, certain information presented contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are based on current expectations, forecasts and assumptions that involve risks and uncertainties including, but not limited to, economic, competitive, governmental and technological factors outside of our control that may cause our business strategy or actual results to differ materially from the forward-looking statements. For a list and description of such risks and uncertainties, see the reports we filed with the Securities and Exchange Commission.
 Investors are cautioned not to place undue reliance on any forward-looking statements, which speak only as of the date on which they are made. We do not intend and undertake no obligation to update any forward-looking statements whether as a result of new information, future events or otherwise. The content of this conference call contains time-sensitive information that is accurate only as of today, March 6, 2012. The company undertakes no obligation to make any revision to the statements contained in our remarks or to update them to reflect the events or circumstances occurring after this conference call.
 We will now begin with remarks from Tim Conver. Tim? 
Timothy Conver: Thank you, Steve. Before I review the quarter and the year to date, I'd like to explain why our Q3 revenue came in lower than anticipated and why it does not impact our current fiscal year. As we communicate regularly, the timing of order receipt and delivery can have an impact on our quarterly revenue and this was the case in Q3. 
 $20 million of small unmanned airplane systems planned for shipment in our third quarter completed assembly and test in January, but those shipments were pushed out into the first week of our fourth quarter due to an administrative delay in customer acceptance. As a result, customer acceptance was not processed until Tuesday, January 31, 3 days after our third quarter end. $20 million of revenue will be recorded in Q4 rather than our third quarter as planned. However, this timing will not affect our annual revenue. We do not expect similar administrative delays in the future.
 On today's call, I'll provide a brief overview of our Q3 performance and then I'll review progress in our business segments, reinforcing 3 points: our team is executing effectively against our Q '12 plans; our core businesses continue to prosper and are positioned for sustained growth; and we see tangible evidence of adoption of multiple long-term growth initiatives. 
 Jikun Kim will address financial performance and I'll follow up after his comments with our view of the balance of fiscal year '12, our long-term growth drivers and some initial color on how we view our fiscal 2013. 
 Now on to Q3. Delivery timing aside, our team performed well and executed to plan in Q3. We produced quarterly revenues of $72 million and fully diluted earnings per share of $0.26. Comparing the first 9 months of fiscal 2012 with fiscal 2011, our revenue was up 15% and diluted earnings per share increased by 50%. 
 The $20 million of small UAS delivered early in our fourth quarter gives us a strong start to what we anticipate will be a record Q4 revenue. Additionally, gross margin and efficient energy systems continues to recover from its Q1 low point, increasing to 29% from quarter 2's 25%. 
 Now focusing on small UAS within our Unmanned Airplane Systems segment. While Raven remains the most widely used UAS in the world, Puma is continuing to gain broader exposure and adoption with multiple customers. We have also been demonstrating 2 smaller platforms, Digital Wasp and Shrike VTOL, and customers are providing positive reinforcement that these platforms will eventually see meaningful adoption. We expect that they will expand the value and the capabilities of our family of small UAS. 
 We have also successfully expanded our UAS support services beyond training and field support to include operating AV-owned systems to deliver information to customers as a service. These services have been well received and have driven significant growth. We expect support services revenue to double this year over last year.
 This calendar year, we will introduce the latest upgrade to the Raven system, a pan-tilt-zoom payload for both electro-optical and infrared imagery. This capability dramatically improves the imagery and the operational flexibility of Raven and is easily retrofittable. We expect this upgrade to be adopted by the Army this year and we believe it will be attractive to other customers, both in new acquisitions and as an upgrade for the installed base. 
 Small UAS are integrated into the way our military plans, equips, trains and operates. These systems uniquely empower the squad level units to know more about what's going on around them, better enabling them to avoid and defeat threats, move faster and save lives. The Marines reported that during a 6-month period, there were 90 incidents in which the ability to immediately engage targets with the same unmanned aircraft that identified them would have enabled effective engagement of enemy forces in placing IEDs. And that was before the broad adoption of Puma in route clearance patrols. 
 When you consider the addition of the backpackable Switchblade loitering munition capability, you can imagine a squad with real-time situational awareness and a beyond-line-of-sight precision strike capability. This turns the squad into an ever more effective fighting force that can acquire and quickly act on intelligence, empowering them with what the military calls, overmatched capabilities. 
 Integrating ISR and precision strike at the squad level will translate into an important advantage -- increasing effectiveness while decreasing U.S. casualties, collateral damage and cost. We think that's a powerful value proposition at any time, but even more so in a budget-constrained environment.
 Staying on the topic of budgets, the President's recently announced fiscal year 2013 budget request contains about $45 million of line items for our small UAS and for a small organic precision munition. The majority of this funding, $25.8 million is for Army Raven systems. While this may look like, to some, a demand decline for Raven, this amount is consistent with our expectations and it is consistent with last year's Army future year defense program report as well. We have seen the size of these Raven procurement amounts increase and decrease from year-to-year based on the Army's long-term acquisition plans. Demand for small UAS remains strong and we do not believe this lower budget amount is driven by forced reduction initiatives or ops tempo. In fact, budget documents show planning Army Raven procurement now extends out through 2017, reinforcing the continued demand for small UAS. From a business perspective, budget line items accounted for only about a 1/3 of our total UAS revenue in previous years. Furthermore, Raven system procurement by the Army in our current fiscal year 2012 is a smaller percentage of our total UAS revenue than in the past. Continued product and service diversification have positioned us well for future small UAS demand, both within and beyond the U.S. Department of Defense, and we expect this part of our business will continue to prosper. 
 International demand is following a pattern similar to DoD's adoption of small UAS. That is, trial, initial adoption, formal requirements, acquisition, upgrade and support. The broader international military market is trailing DoD by 5 to 10 years, but it is continuing to develop and we believe it will represent significant demand for our solutions. 
 The U.S. Congress and the FAA seem to be moving to action on permitting UAS to operate in the national airspace. And the topic has generated a flurry of news coverage, reflecting broad interest. 
 The FAA's recently signed budget calls for the agency to integrate UAS into the national airspace and the FAA itself is preparing to publish its recommended rules for small, unmanned airplane systems later this spring. In anticipation, we introduced the Qube system in October, as our first solution tailored for the needs of nonmilitary markets. 
 Public safety is one early nonmilitary market segment that we believe will adopt small UAS in a meaningful way. We were encouraged by the significant level of interest in our solutions within and beyond the public safety community, and we fully expect that our small UAS will serve public and commercial interest in the future, saving lives and property and enabling new capabilities and services in the process.
 Predicting the timing and the rate of adoption of innovative solutions is always difficult. But we believe that we are recognized by many as the leader in this new category and we fully intend to maintain that position to grow with a significant emerging market. 
 Moving from small UAS to loitering munitions, Switchblade continues to gain funding and active interest from customers. The $4.2 million Air Force contract we announced in February represents a second such order involving production Switchblade units, the prior order coming from the Army. Demand is continuing to build and broaden. As a single use round, the potentially high production volume of Switchblade could enable ever more cost-effective manufacturing, creating even more compelling customer value. We're fortunate to have ATK supporting us as a partner on Switchblade and our systems solution benefits greatly from their munitions expertise. We anticipate more Switchblade orders in the future and believe that broad adoption will drive significant long-term growth. 
 Global Observer is our large UAS designed to operate as a stratospheric satellite, providing a portable, persistent communications and remote sensing.
 Although we have not provided news on Global Observer, we have not stood still since last April. We are talking with customers about moving the Global Observer program forward, and we have continued investing our own funds to further our manufacturing transition capabilities to ensure that we are prepared, once we have secured customer support to move forward. We believe the need for Global Observer is as strong as ever and remain committed to deploying this unique innovation.
 Now shifting to our efficient energy systems business segment. Wahid Nawabi recently joined AV as Senior Vice President and he's been working closely with his team, as he takes over leadership of this segment of our business. 
 Our EV test systems and industrial electric vehicle charging product lines are continuing to grow. And we see significant growth potential for our on-road electric vehicle solution offering. 
 As I mentioned earlier, we saw the gross margin again improve at EES, as we had expected after Q1. We are also building on our strong position in the EV charging market, now providing and installing the home and dealer-charging systems across North America from Mitsubishi, BMW and Nissan. 2012 is shaping up to be an important year for electric vehicles with the introduction planned for new plug-in models for Mitsubishi, Ford and Chrysler Fiat and others. We have now deployed over 7,000 -- around 7,000, level 2 charger docks in North America and have installed 27 DC Fast Charging systems. Most public charging will require a network to manage access, availability and electric usage and our network solution is a key element of our public charging offering. The network solution we built to support NRG's echo systems in Houston and Dallas/Fort Worth is operational and provides drivers the ability to charge at their homes or in public locations, when and where they need to. Given the emerging nature of this market, we think that providing the most comprehensive solution of private and public hardware, installation and service, customer relationship management and network software positions us as the provider of choice for many automakers, utilities and other stakeholders.
 We believe this market will continue to evolve and our broad solutions and relationships will position us well for the winning moves that will drive long-term growth and profitability. We like our position and we believe that our approach continues to be validated by contracts with important participants in multiple segments of this market. 
 With that as a broad overview of the business, I'll turn the call over to Jikun to provide a detailed financial overview. 
Jikun Kim: Thank you, Tim, and good afternoon, everyone. AeroVironment FY '12 Q3 results as follows: Revenue for the third quarter was $72 million, a decrease of 15% over the third quarter last year of $84.4 million. 
 Looking at revenue by segment, UAS revenue was $57.2 million, a decrease of 20% over the prior year. The decrease in UAS revenue was largely due to lower sUAS product deliveries of $10.8 million, lower customer-funded R&D work of $2.3 million, driven by the Global Observer contract and lower logistics and repair revenues of $1.4 million. 
 EES revenue was $14.7 million, an increase of 16% from Q3 last year, primarily due to higher product deliveries and installation services of our on-road electric vehicle and industrial electric vehicle charging systems. 
 Turning to gross margins. Gross profit dollars in the third quarter was $27.4 million, down 20% from the third quarter last year. Gross margin as a percent of revenue was 38% versus 40% in the third quarter last year. By segment, UAS gross profit dollars was $23.2 million, down 20% from the third quarter last year, primarily due to lower sales volumes. As a percent of revenue, UAS gross margin percentage was unchanged at 40%. 
 EES gross profit dollars was $4.3 million, down 16% from the third quarter last year. The decline in gross profit dollars was driven by lower gross margin percentages, offset by higher sales volumes. As a percent of revenue, EES gross margin decreased to 29% from 40%, primarily driven by increase in sales of new products and low rate initial production and higher manufacturing and engineering overhead support cost driven by increased production capability and capacity. 
 SG&A investment for the quarter was $12.9 million or 18% of revenue compared to $10.6 million or 13% of revenue in the prior year. The increase was primarily due to higher bid and proposal activity and administrative infrastructure investments. R&D investments for the quarter was $7.2 million or 10% of revenue compared to the prior year amount of $7.9 million or 9% of revenue. 
 Operating income for the quarter was $7.3 million or 10% of revenue compared to the prior year amount of $15.7 million or 19% of revenue. Operating income was lower due to lower sales volumes and higher SG&A investments, partially offset by slightly lower R&D investments. The effective tax rate for the quarter was 23%, a decline from the prior year period of 27.2%. The decline was driven by R&D tax credits. 
 Net income for the quarter was $5.7 million or $0.26 per fully diluted share compared to $11.5 million or $0.52 per fully diluted share in the same quarter last year.
 Now moving quickly through our year-to-date Q3 FY '12 results. Revenue for the first 9 months was $214.3 million, up 15% from the prior year period of $186.4 million. By segment, UAS revenue was $176.4 million, up 11% from the prior year. The increase in revenue was largely due to increased service revenues of $17.7 million driven by logistics, retrofit and turnkey support services. Increased product deliveries of $14.2 million driven by Puma AE systems, but offset by lowering customer-funded R&D work of $14.3 million driven by the Global Observer contract. 
 EES revenue was $38 million or 37% -- I'm sorry, EES revenue was $38 million, up 37% from the prior year period, primarily due to increased product deliveries and Installation Services of our on-road electric vehicle charging systems and Electric Vehicle Test Systems.
 Gross profit dollars for the first 9 months was $79.8 million, compared to $67.9 million a year ago. Gross margin as a percent of revenue was 37%, approximately 80 basis points higher than the prior year. By segment, UAS gross profit dollars was $70.6 million, up 24% primarily due to higher sales volumes and higher portion of revenues that were tied to fixed price contracts compared to cost reimbursable contracts.
 EES gross profit dollars was $9.2 million, down 17% primarily due to lower gross margin percentages offset by higher volumes. As a percent of revenue, EES gross margin percentage increased from 40% to 24% primarily due to higher program cost on fixed pipe DoD development subcontracts, higher sales mix of new products and low rate initial production and higher overhead support cost driven by increased production capability and capacity.
 SG&A investments for the first 9 months was $38.8 million or 18% of revenue compared to the prior year period of $34.6 million or 19% of revenue. R&D investments for the full year was $23.6 million or 11% of revenue compared to $24.5 million or 13% of revenue in the prior year. 
 Operating income for the first 9 months was $17.3 million, an increase of 98% from last year of $8.8 million. As a percent of revenue, operating income percentage for the first 9 months was 8% of revenue compared to 5% of revenue last year.
 The effective tax rate for the first 9 months was 28.3%, up from the prior year period of 8%, primarily due to lower R&D tax credits. Net income for the first 9 months was $12.7 million or $0.57 per fully diluted share compared to a net income of $8.3 million or $0.38 per fully diluted share last year. This reflects a 50% year-over-year growth in fully diluted EPS. 
 Now looking at backlog. Funded backlog at the end of the third quarter was $85.5 million, up $2.6 million or 3% from April 30, 2011.
 Turning to our balance sheet. Cash equivalents and investments at the end of the third quarter totaled $190.9 million, down $9 million from the prior quarter. The negative cash flow was driven by higher working capital needs. 
 Turning to receivables. At the end of the third quarter, our accounts receivable including unbilled receivables, totaled $48.7 million, up $1.5 million from the prior quarter. Total days sales outstanding were approximately 61 days compared to 53 days at the end of the prior quarter.
 Taking a look at inventory, inventories were $48.4 million at the end of the quarter compared to $41.4 million at the end of the prior quarter. Days in inventory were approximately 98 days compared to 75 days at the end of the prior quarter. 
 Finally, turning to capital expenditures. In the third quarter, we invested approximately $4.4 million or 6% of revenue in profit improvements and capital equipment. Depreciation for the quarter was $2.3 million.
 Now I'd like to turn things back to Tim to discuss AV's expectations for the balance of our FY '12. 
Timothy Conver: Thanks, Jikun. In our first quarter, I outlined the 3 areas we expected to drive growth for our business in fiscal year '12 -- small, UAS, Switchblade and the EV product line. Each of these areas has delivered on expectations, a testament to the effectiveness of our team and the demand for our innovative solutions. Each area also presents a pathway towards growth opportunities for our fiscal '13 and beyond. 
 At the start of the year, we said we planned to deliver a minority of the government's fiscal year '12 budget request for Army Raven systems in our AV fiscal year '12. Our customers now have funding for the government fiscal year '12 Raven budget line items and for multiple other small UAS requirements. We are confident that they intend to process initial contracts for these requirements in our fiscal year '12 fourth quarter. This plan contracting schedule will support our original guidance for fiscal 2012 revenue of $321 million to $336 million and fully diluted EPS of $1.28 to $1.35. 
 We will carry some timing risk until these contracts are received, but we do expect to receive and to make initial deliveries on these GFY 2012 contracts from the government in our Q4 and to achieve the guided revenue and EPS for the year.
 We remain optimistic about our long-term outlook. And the 5 growth drivers of our business all remain viable. These growth drivers are more current products to current customers, services to support our installed base, upgrades and retrofits to current products, expanded markets and applications for current products and new product developments. 
 Our 3- to 5-year compounded growth strategy is based on 3 key assumptions. First, unmanned airplane systems and the electric vehicle markets will grow globally. Second, we will maintain strong market share in these growth markets. And third, we'll continue our innovation and agile execution.
 We assume defense budgets will be pressured over this period. And at the same time, ISR and UAS will remain high priorities for defense acquisition. We expect to see continued demand for our current products in small UAS, as well as for upgrades and retrofits. We also expect adoption of our smaller UAS platforms and continued growth in our UAS services. We anticipate accelerated international small UAS adoption and the emergence of nonmilitary markets in the United States and globally. 
 We believe there will be broad adoption of Switchblade. We remain committed to putting Global Observer into service and believe that it's adoption will drive incremental revenue. 
 We assume the economy will not relapse and that electric vehicle development will continue, sustaining the capital spending we've seen over the past year. We expect this capital spending will support our EES segment with continued demand for our industrial EV Solutions. We also anticipate related technology applications to emerge from our development process. We believe the adoption of plug-in EVs in North America and globally will increase significantly over this period and that we will be effective in growing with that market. 
 The first year of this long-term outlook will be our fiscal year 2013, and we plan to solidify next year's guidance on our Q4 call as we have consistently done in the past. However, it is clear already that many of the conditions for the long-term growth drivers I just mentioned are manifesting now. And I expect they will be positive contributors to growth in the coming year, supporting our optimism about fiscal year 2013. Thank you for your continued interest in AV and Jikun and I will now take your questions. 
Operator: [Operator Instructions] Our first questioner in the queue is Jeremy Devaney with BB&T. 
Jeremy Devaney: I wanted to first take a look at this revenue split from Q3 to Q4, it looks like you have put up a pretty strong UAS number if it had been in the quarter. Can you comment at all on the impact that, that had on gross margin and do you expect the -- do you have cost matching in the quarter or did you have costs that ran through to Q4 with that revenue? 
Jikun Kim: Hi, Jeremy, this is Jikun. In terms of cost matching, basically, the products we're built in, in inventory and had been in inventory at the end of the quarter. So the cost would have been in our inventory. And then as we recognize revenue in the fourth quarter, that will be released out of our cost of goods sold. 
Jeremy Devaney: All right. So no impact on the Q3 margin because of the slip, just to clarify? 
Jikun Kim: Correct. Yes. 
Timothy Conver: And as you hypothesized early on, Jeremy, had that shipment taken place 3 days earlier, that not only the revenue, but the profitability would have been significantly higher in Q3 and in fact, at the high range of our planning. 
Jeremy Devaney: Excellent, excellent. Earlier in your comments, Tim, you mentioned the power by the hour of field support services plans that you're starting to put in place with some customers. Could you give us some more color and perhaps quantify, you said you were expecting it to double in the calendar year, but what base is that off of? And what kind of customer implementation plans are you using there? 
Timothy Conver: Well, first, my intent was to say that we expect that to double this fiscal year 2012 over last fiscal year 2011, and we actually are on track 3 quarters in now to that objective. We think that is a long-term growth opportunity that adds to the small UAS business, complementing the historic basis of selling hardware and then supporting that hardware with customers. We certainly expect that we will continue to sell hardware, but we think adding services will support sustained growth in that area where it's advantageous for multiple different customers. 
Operator: Our next questioner in queue is Michael Lewis with Lazard Capital Markets. 
Michael Lewis: Tim, I just want to ask you, really, a question about whether you're seeing some trends with some of your government customers of moving to leasing some of the UAS owned by AeroVironment rather than buying all out? And we're seeing that in the tactical UAS market right now and have we seen any trends there at your firm? 
Timothy Conver: Mike, good question and the answer is no. We haven't seen an appetite from our existing customers to switch to lease. I think the -- I can't -- I would only be guessing at why we do not see that when the group 2 or maybe 3 don't do. But as I mentioned in response to Jeremy's question, we do see a lot of advantage perceived by some customers to the services business which may be somewhat analogous to leasing. 
Michael Lewis: Okay, and that's fair. It's just interesting that the dynamic is that the tier 2 shadow has been moving to that lease model and they continue to buy the smaller UAS. And what would you perceive as more positive for AeroVironment? Would it be a lease dynamic or continue to see them -- the purchases across the organization? 
Timothy Conver: Well, I think from our perspective, we'd certainly be willing and able to address a lease option, if customers were desirous of that. We just haven't seen that appetite. It's possible that its price point, as you know, our systems are in order of magnitude, lower cost than the next level up of unmanned airplane systems and that may change the dynamics, I don't know. 
Operator: Our next questioner in queue is Noah Poponak with Goldman Sachs. 
Noah Poponak: I wondered, Tim, you sounded pretty confident with regard to next year, fiscal '13. I wondered if you would say if you expect each segment's rate of revenue growth to accelerate in '13 versus '12 or not? 
Timothy Conver: Well, I think I mentioned that we have historically provided definitive guidance on our Q4 call and that's what we plan to do this year. So we're still in the process of refining our operating plan for Q3. And I think as a result, I don't want to get too finite in statements at this point, but as you observed, we're quite optimistic about our potential growth on both sides of the business next year. 
Noah Poponak: Okay. Fair enough. If I keep it in, in fiscal '12, so you have the $20 million for sure booked in the fourth quarter, I wonder, a month into the quarter, if you could describe how confident you are in the other 90 to 100 that you need to book to get into the revenue range? 
Timothy Conver: Well, the answer is we're confident. There's a number -- a significant number of contracts in the contracting queue, requirements that have funding behind them and are in the process. In almost all of those cases, the -- our close contact with our customers at this point indicates their scheduled planning will support the release of those contracts in our Q4 and our ability to address initial shipments against those contracts in Q4. Now there's a significant number and each one has -- is in a different contracting queue and has some different schedule around it with some different probability around achieving those schedules. So we really look at that as a portfolio with a bell distribution and we're confident that the means supports our requirements for contract placement and shipment in Q4 to meet the government. So I don't know if that helps anymore or not, but I'll wait to see what you think about that answer. 
Operator: Our next questioner in queue is Tyler Hojo with Sidoti & Company. 
Tyler Hojo: Just a follow on to the last question. Out of the fiscal '12 budget, how much funding are you expecting from Raven to hit before April? 
Timothy Conver: Well, we know that our customer is anxious to take early delivery of Raven against that customer to support their deployment needs, and that both are the contracting office in our customer and we are leaning forward to support that objective. And so, I think the key thing is the timing of the contract and not so much the amount that we would shift this quarter as we'd originally planned and we have not changed our plans that in this fiscal year, we would shift a minority of that requirement and the majority of it would be shipped in our fiscal 2013. 
Tyler Hojo: Okay, so what out of the fiscal -- I mean, when we look at what your expectation is for fiscal '12, could you actually quantify what the dollar amount is that's coming from the budget that you need to receive to make the guide for Q4? 
Timothy Conver: Well, I want to avoid getting into one of the specific contracts that I referred to that are in process now. But you know the gross amount, that was funded in the defense appropriation bill and that number gets reduced before it gets to us. There's some taxes with administrative taxes along the way and there are some government procurements of some of the components. But that's still a very large number and we don't anticipate shipping a large portion of that total number in Q4. 
Operator: Our next questioner in queue is Andrea James with Dougherty & Company. 
Andrea James: My first question is about the support services that's doubling this year. You haven't noted who the customers are and what the exact nature of the services are? Now I was wondering, should we assume that it's classified? Or is there some more detail that you can give about the nature of the service, which vehicles you're operating and also, how those contracts flow through the government budgets process? 
Timothy Conver: Well, you're correct, Andrea, we have not talked about customers and that's because our customers haven't announced those contracts and so we don't want to get out ahead of them. And so, we're just leaving it to our customers to decide if they want to announce how they're using these services. As to the services themselves, they would be probably classified as contractor-owned, contractor-operated assets and services. So we are providing a turnkey service that includes all of the hardware and support and the operation to collect and disseminate information to our customer which gives them what they really want without having to acquire the hardware, train and maintain it, train and maintain operators. And it appears to be an attractive option for customers that we're currently working with and we believe that it's likely to extend and expand in the future. 
Andrea James: Thank you, that's helpful. Also, just the next one, there's been some talk about foreign governments, particularly South Korea, I guess taking a look at the Global Observer. Can you give us just a sense of where you stand with international sales and maybe pursuing those international markets, both for this year and for your long-term outlook. 
Timothy Conver: We're clearly focused on a number of international opportunities for UAS, ranging from our small UAS to and including Global Observer. And there are -- and that's not limited to the specific application that you mentioned in South Korea that's been mentioned in the press a few times over the last few months. I think it is, as I mentioned in my statements earlier, I think it is a real and a significant opportunity for AV to acquire and grow substantially our business with international military customers across the board as they begin to adopt UAS in a more robust way. I don't know that there's any specifics that I can get into beyond that general statement, though. 
Operator: Our next questioner in queue is Josephine Millward with Benchmark. 
Josephine Millward: Tim, how much of the Raven crew do you think the Army will upgrade in the coming year? And going forward, do you think all the Raven systems will have the new payload? The reason I'm asking this is, in the past, if you recall, the DDL upgrades created some delays to the new -- to new Raven procurement. Can you talk about that? 
Timothy Conver: Sure, Josephine. I think the -- our expectations for this new payload upgrade with Raven are similar to what we expected with Digital Data Link, that it is likely that, as I mentioned previously, I think it's likely the Army will adopt that upgrade this year and I think it is likely that all customers will find that to be attractive in the future and it is designed to be easily retrofittable into all installed bases of the Raven B platform. So that's -- I think it's probably going to be attractive, it's going to catch on quickly and we will see, not only upgraded capabilities in new acquisition, but some considerable retrofit of the installed base. 
Josephine Millward: That's helpful, and on the Switchblade? I recall you've delivered a combat prototype and have had some success. Can you walk us through the next steps, what needs to happen for this to go into production, full-rate production? 
Timothy Conver: Well, again, going back to my previous comments today, we've -- we now are, have announced 2 contracts, 1 from the Air Force and 1 from the Army that include production hardware in the contract and so we will be producing and delivering those systems. I would characterize the stage we're in right now as early adoption, which is pretty consistent with our prior history of introducing innovative new solutions to defense applications. What we have seen in the past is that as customers used the new systems and find them to be as valuable as they expected that they increased their acquisition and ultimately, they developed formal requirements and moved them into long-term programs of record. So predicting where we are on that process is probably not what I want to do, since it's really up to the customers and they're not prohibited or locked into a fixed schedule. I do see strong interest and it's very broad and it continues to grow, so we're very optimistic about the experience that our customers will have in the -- as we go forward and the probability that they will accelerate their adoption. 
Operator: The next question in queue is Brian Ruttenbur with Morgan Keegan. 
Brian Ruttenbur: What proportion of Q4 '12 revenue is dependent on the next Raven order? That's my first question. 
Timothy Conver: Brian, again, I want to avoid getting into specifically defining the different contracts that we're currently working on. And let me pause here because I'm getting a lot of feedback so I don't know how I'm coming across on the call here. 
Brian Ruttenbur: Okay. And maybe the next question, you talked about UAV growth worldwide. Your growth is obviously dependent on UAV growth worldwide. In that assumption, what percentage of the UAV market is the U.S.? And when you're talking about growth, what are you looking for the U.S. market to grow right now? 
Timothy Conver: Well, I think we expect to see our UAS business continue to grow. And right now, the largest user of Unmanned Airplane Systems in the world, by far, is the U.S. and the Department of Defense. I think the rate of growth will be higher from the sum of all non-U.S. customers over the next 3 to 5 years, but that's starting from a much lower base than the U.S. So for us as a supplier of the largest quantity of UAS, probably in the world, but a very small percentage of the total dollar volume, the primary effect is programmatic and which programs are adopted at what rates. And within an overall strong market demand for UAS, we think we can continue to thrive. 
Operator: Our next questioner in queue is Michael Ciarmoli with KeyBanc Capital. 
Michael Ciarmoli: Just a couple of housekeeping, and forgive me if these have been asked, I jumped on a bit late. The $20 million order that slipped, is that presently in the backlog that you guys reported? 
Timothy Conver: Yes. 
Michael Ciarmoli: Okay. And then would you be -- would you expect to be able to grow backlog at the end of fiscal '12? 
Timothy Conver: I think that will be a function of the number of contracts and the volume of those contracts that are booked during the quarter, Mike. As I mentioned before, there are a large number in process and in total, considerably more than we would intend to ship in Q4. So even though we are focused on the probability of the contracts necessary to meet our Q4 revenue objectives, it's, contracts above and beyond that are likely and it just will be a timing issue of how many, and that will drive backlog at the end of the quarter. In general, quarter end backlog may have some relevance to our next quarter revenue, but it's relatively uncorrelated historically with our annual revenue. 
Michael Ciarmoli: Okay. Fair enough. And then last one, just can you give us an update on the trajectory of service-related revenues, as we've seen basically up-tempo wind down in the Middle East and kind of where are you expecting your service revenues to trend to? 
Timothy Conver: Well, I think we would expect to see a portion of that service revenue to be driven by that kind of wind down. As the bulk of military forces leave an area, the people that are left have arguably an increased interest in situational awareness with the decrease of force protection. And so I think that offers the potential to continue to grow our small UAS business, whether it's in hardware sales or in services. 
Operator: [Operator Instructions] We do have a follow-up question from Jeremy Devaney. 
Jeremy Devaney: I just wanted to circle up on the EES segment. I know we haven't talked about it a lot on the call, but I'm interested to hear your thoughts on the trajectory of adoption of electric vehicles in the U.S., especially given GM's announcement about the Volt yesterday. And what are you seeing in terms of utility power companies moving forward UTX energy-type activities? 
Timothy Conver: Well, we haven't seen any abatement in activity, Jeremy, from the various vertical groups of customers that we address. I'm not sure what to make of the GM announcement. One thing is, of course, that the Volt is a plug-in hybrid. My sense is that as to the Nissan Leaf for example, which is a battery electric vehicle, that the deliveries there have been constrained by supply and not by demand. And all indications are that, that supply should increase in the coming year and a new factory is planned to come online in Tennessee for Nissan at the end of this year with a dramatic increase in capacity. So overall, our view at this point is that it's continuing to move ahead and the admonition that it's difficult to predict the timing and the rate of adoption of an innovation seems to be holding true. 
Jeremy Devaney: All right, that's very helpful. And then just a couple of housekeeping questions, can we get unfunded backlog for the quarter and also customer-funded R&D for Q2 and Q3? 
Jikun Kim: Sure. Unfunded backlog at the end of the third quarter was $121.5 million. And the other question had to do with customer-funded R&D in the quarter. It was $5.9 million in the quarter. 
Operator: Next questioner in queue is Noah Poponak with Goldman Sachs. 
Noah Poponak: Just a couple of questions on margins. The EES margin is kind of reset here this year versus where it was last year. Is this -- is the third quarter margin kind of the new margin for EES? Or do you expect that to continue to revert further back to where it used to be? 
Timothy Conver: I don't think that's the new margin, Noah. I think we saw what we expected to be a low point of margin in Q1, that was related with the introduction of 1/2 dozen new products and a fixed price R&D contract. And we expected to incrementally improve that margin throughout the year and we've seen that in the second and third quarter. We expect to see that again in the fourth quarter. Having said that, we also expected and continue to expect that the gross margin for the year will be lower in 2012 than it was in 2011 for those very reasons. As we go forward, I think we will continue to see improvement. Where that settles out is yet to be determined. We've got a different mix of hardware and service in the new on-road electric vehicle solutions product line with a higher percentage of service component in that revenue stream than in our historic industrial product line. And we also expect that on-road infrastructure business to grow at a faster rate than our industrial business. So the mix will change over time and it's not quite clear at this point where we settle out, but I think we continue to see improvement along the way. 
Noah Poponak: Got it. And then on R&D, what's your latest thinking on where R&D shakes out over the next year or so? 
Timothy Conver: I think our model is probably going to stay about the same. Historically, we've looked at 8% to 10% of revenue at R&D and while we are prepared to modify that model if there are compelling market drivers, right now, I think it's still a good model going forward. 
Operator: Next questioner is another follow-up question from Michael Lewis with Lazard Capital Markets. 
Michael Lewis: My questions have been answered. 
Operator: Next questioner is Andrea James with Dougherty & Company. 
Andrea James: Do you expect Raven and Puma revenues to grow in 2013? 
Timothy Conver: Well, we try to avoid getting into discussing particular revenue or profitability by product line or by product group. So I think what we've done as we began this year is talk about that business in the context of our small UAS product line which we expected to be contributing to our growth in 2012, and in fact, it is. And my guess is that, that product line will continue to contribute to growth going forward. 
Andrea James: And then the second, I guess a little bit more colorful here. Just thinking about the nonmilitary applications and kind of what's going on with the FAA. And then there was this video at one of its head conferences of a very -- of UAS made by the university students. It looked a lot like the Shrike. They were playing instruments and stuff like that. So I guess my question is, what is that opportunity like in terms of timing? And do you think there's going to be a lot of competition and does the Shrike face competition from these ones that look like it or obviously what's your differentiation? Sorry, it's sort of rambling but, I'm sure, you can talk more. 
Timothy Conver: I think it's all on point, Andrea. In general, I think the market opportunity in nonmilitary applications of small UAS is very large. I think it's global. I think like -- I sound like a broken record, but the prediction of the timing and the rate of adoption of innovation is difficult and I would expect to see that difficulty in predicting timing and rate in this adoption of small -- of all UAS in the national airspace. But I think sooner or later, it becomes a very large market opportunity. I do think that we'll see plenty of competition. We still see competitors entering the military market because it continues to look like an attractive market opportunity and we have the same characteristics around the nonmilitary market potential and arguably, a new open field to compete in. So I would expect plenty of incumbent and new market entrants. Having said that, I think the competitive advantage that we have found in our military applications in many cases rolls over to nonmilitary users. Deep understanding of the technology far down the learning curve on volume production experience, a system integration that focuses on user interface and reliability, in addition to high performance and a training and support business that enables customers to be assured that they will have operating hardware when they need it in a cost effective way.  So I think we're well-positioned to compete, and I expect lots of competition. 
Operator: The next questioner in the queue is Tyler Hojo with Sidoti & Company. 
Tyler Hojo: Just a couple of follow-ups, where are we just in terms of the planned buy for the Army with Raven? 
Timothy Conver: That's the acquisition objective. 
Tyler Hojo: Yes, I'm sorry that was... 
Timothy Conver: I'm keeping the stats here. 
Jikun Kim: Sorry about that. We are at 1,727 systems which is 73% against the Army acquisition objective of 2,358 systems. In this quarter, we did not have a lot of activity although we shipped a lot of Raven for different customers. 
Tyler Hojo: Okay, great. And then what's the tax rate expectation for Q4? 
Jikun Kim: Again for the full year, it would be 30%. 
Operator: And at this time, I'm showing -- that's enough time for our question. We'd like to turn the call back over to Mr. Gitlin for any additional or closing remarks. 
Steven Gitlin: Thank you very much, Huey, and thank you for your attention and your interest in AeroVironment. An archived version of this call, all SEC filings and relevant company and industry news can be found on our website, avinc.com. We look forward to speaking with you again following next quarter's results. 
Operator: Thank you, gentlemen. Ladies and gentlemen, this does conclude today's conference. Thank you for your participation and have a wonderful day. You may now all disconnect.